Operator: Good morning. My name is Lisa, and I will be your conference facilitator today. At this time, I would like to welcome everyone to Boise Cascade’s Third Quarter 2022 Conference Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Before we begin, I remind you that this call may contain forward-looking statements about the company’s future business prospects and anticipated financial performance. These statements are not guarantees of future performance, and the company undertakes no duty to update them. Although these statements reflect management’s expectations today, they are subject to a number of business risks and uncertainties. Actual results may differ materially from those expressed or implied in this call. For a discussion of the factors that may cause actual results to differ from the results anticipated, please refer to Boise Cascade’s recent filings with the SEC. It is now my pleasure to introduce to you, Kelly Hibbs, President – excuse me, Vice – Senior Vice President, CFO and Treasurer of Boise Cascade. Mr. Hibbs, you may begin your conference.
Kelly Hibbs: Thank you, Lisa. Good morning, everyone. I would like to welcome you to Boise Cascade’s third quarter 2022 earnings call and business update. Joining me on today’s call are Nate Jorgensen, our CEO; Mike Brown, Head of our Wood Products Operations; and Jeff Strom, Head of our Building Materials Distribution Operations. Turning to Slide 2, I would point out the information regarding our forward-looking statements. The appendix includes reconciliations from our GAAP net income to EBITDA and adjusted EBITDA and segment income to segment EBITDA. I will now turn the call over to Nate.
Nate Jorgensen: Thanks, Kelly. Good morning, everyone. Thank you for joining us for our earnings call today. I’m on Slide 3. Our consolidated third quarter sales of $2.2 billion were up 15% from third quarter 2021. Our net income was $219.6 million or $5.52 per share compared to net income of $91.7 million or $2.31 per share in the year-ago quarter. Both of our businesses reported strong financial results during the third quarter despite the softening economic landscape. In third quarter 2022, total U.S. housing starts decreased 7% driven by a decrease in single-family housing starts up 18% compared to the same period last year. Wood Products reported segment EBITDA of $177.3 million in the third quarter compared to $136 million in the year-ago quarter. Wood Products benefited from improved EWP sales realization, offset partially by lower plywood sales prices and higher manufacturing costs compared to last year’s third quarter. The team in Wood Products did an outstanding job during the quarter of managing the integration efforts of the Coastal Plywood facilities in both Alabama and Florida. I’m pleased with our progress as we work to expand our EWP capacity and further leverage our integrated business model. Building Materials Distribution reported segment EBITDA of $161.2 million on sales of $2 billion for the third quarter compared to $22.6 million of segment EBITDA and sales of $1.7 billion in the comparative prior year quarter. We’ll be the first to admit that BMD’s comp from prior year result wasn’t a high bar because of the historic collapse in commodity product pricing during that period. But make no mistake that BMD’s performance was very good in an environment that continues to present challenges on many fronts. I’m also pleased that the Board of Directors recently authorized a quarterly dividend of $0.15 per share payable on December 15, 2022. This represents a 25% increase in our quarterly dividend. In addition, our Board also announced a special dividend of $1 per share, our second special dividend of 2022 that is also payable on December 15. Kelly will now walk through our financial results in more detail and provide a further update on capital allocation, after which, I’ll come back to provide our outlook before we take your questions. Kelly?
Kelly Hibbs: Thank you, Nate. Wood Products sales in the third quarter, including sales to our distribution segment, were $595.3 million compared to $497.3 million in third quarter 2021. As Nate mentioned, Wood Products reported segment EBITDA of $177.3 million, up from the EBITDA of $136 million reported in the year-ago quarter. The increase in segment EBITDA was due primarily to higher EWP sales prices, offset partially by lower plywood sales prices as well as higher manufacturing costs. Based on our preliminary purchase price allocation related to the Coastal acquisition, we expect depreciation and amortization on the acquired fixed assets and intangibles to be approximately $40 million per year. Refer to our third quarter Form 10-Q for further information regarding the preliminary purchase price allocation. BMD sales in the quarter were $2 billion, up 14% from third quarter 2021. BMD reported segment EBITDA of $161.2 million in the third quarter compared to segment EBITDA of $22.6 million in the prior year quarter. The increase in segment EBITDA was driven by a gross margin decrease of $166.1 million, resulting primarily from margin improvements on commodity products. In addition, selling and distribution expenses increased $25.7 million. Turning to Slide 5. Our third quarter sales volumes for LVL were up 12%, while sales volumes for I-joists were down 15% compared with third quarter 2021. We experienced continued strong demand for LVL, whereas I-joists volumes were negatively impacted by the decline in single-family housing starts. Pricing in third quarter for LVL and I-joists were up 19% and 18%, respectively, compared with second quarter 2022 as previously announced price increases continue to take effect and price protection and allowance mechanisms roll off. We have experienced pricing pressures for EWP as we move through the fourth quarter, particularly on I-joists as the market adjust to changes in new residential construction activity. Turning to Slide 6. Our third quarter plywood sales volume in Wood Products was 329 million feet compared to 314 million feet in third quarter 2021. Plywood sales volumes increased due to the acquisition of Coastal Plywood. Excluding the Coastal volumes, our third quarter plywood sales were 272 million feet, down 13% from third quarter 2021 and 3% sequentially. The 477 per 1,000 average plywood net sales price in the third quarter was down 15% from third quarter 2021 and down 16% sequentially. Thus far in the fourth quarter, plywood price realizations are approximately 13% below our third quarter average. Moving to Slide 7. BMD’s third quarter sales were $2 billion, up 14% from third quarter 2021 driven by a sales price increase to 15%, offset partially by sales volume decrease of 1%. By product line, commodity sales increased 1%. General line product sales increased 19%, and sales of EWP increased 33%. Gross margin dollars increased by $166.1 million in third quarter compared to the same quarter last year, resulting primarily from margin improvements on commodity products. The gross margin percentage for BMD was 15.4%, up 750 basis points from the 7.9% reported in third quarter 2021. BMD’s EBITDA margin was 8.2% for the quarter, up from the 1.3% reported in the year-ago quarter. BMD sales pace thus far in the fourth quarter is seasonally weaker, but it has been a favorable environment for two-step distribution as our downstream customers desire mixed loads and look to manage inventory volume and price risk. The BMD team continues to provide high service levels, but is also focused on managing inventories as our channel partners expect weaker demand as winter approaches. Given this backdrop, we anticipate lower EBITDA margins in the fourth quarter, resulting from the potential of gross margin declines from product price erosion and deleveraging of fixed cost and sales decline. Moving to Slides 8 and 9. These slides show the declines in lumber and panel pricing during third quarter of 2022, which appear quite modest when compared to third quarter 2021. We expect future commodity product pricing will continue to be volatile as the industry attempts to adjust supply to levels needed to support an uncertain near-term demand environment. I’m now on Slide 10. We finished third quarter with $867.1 million of cash. Our total available liquidity at September 30 was approximately $1.3 billion, which reflects our cash and availability under our committed bank line. During third quarter, we amended our senior secured asset-based revolving credit facility and term loan. The amendment increased the maximum amount available for revolving loans from $350 million to $400 million, extended the maturity date of the agreement and transitioned the index rate from LIBOR to SOFR. The term loan remains at $50 million. Excluding acquisitions, we expect capital expenditures in 2022 to total approximately $100 million to $120 million, which includes BMD organic expansions in Ohio, Kentucky and Minnesota; replacement of a dryer at our Chester, South Carolina veneer and plywood plant; and post-acquisition veneer equipment-related spending in our Chapman, Alabama facility. We expect capital expenditures in 2023 to total approximately $120 million to $140 million, which includes continuation of our multiyear capacity expansion projects in EWP and further investment in BMD organic growth projects. As we’ve noted before, availability of engineering and construction resources, timing and availability of equipment purchases and our financial results are among the factors that are expected to have an influence on these levels of capital expenditures. Consistent with last quarter, our effective tax rate is expected to be between 25% and 27%. I’ll now move to capital allocation. As Nate mentioned earlier, our Board recently approved a $0.03 per share or 25% increase in our quarterly dividend effective with our December dividend payment. The Board also approved a special dividend of $1 per share, our second special dividend of 2022. Dividends and opportunistic share repurchases remain two mechanisms in which we return capital to shareholders under our balanced approach to capital allocation. After payment of the fourth quarter dividend, our balance sheet will remain very strong, providing us ample flexibility to continue to invest in our existing asset base and organic growth projects in both businesses. Our overarching objective remains to successfully grow our business while generating appropriate returns on shareholder capital. I will now turn it back over to Nate to discuss our business outlook.
Nate Jorgensen: Thanks, Kelly. I’m on Slide 11. Current estimates for 2022 U.S. housing starts are between 1.5 million and 1.6 million units or essentially flat compared to 2021. However, continued actions by the Federal Reserve to increase interest rates to combat high levels of inflation has significantly increased mortgage rates and created a great deal of uncertainty broadly across the U.S. economy. Due to home affordability constraints and a weakening economy, the pace of new residential construction has slowed, and we expect demand to continue to decline for the remainder of 2022 and into 2023. Consensus forecast for 2023 housing starts in the U.S. are estimated to be 15% to 20% below 2022 levels. As it relates to home improvement spending, the age of U.S. housing stock and elevated levels of homeowner equity provide a favorable backdrop of repair and remodel spending. While likely tempered by an economic slowdown, we anticipate these drivers to continue to be supportive of the homeowners’ future investment in their residences. In Wood Products, we will be focused on continuing to successfully integrate the Coastal Plywood operations into our system and execution of the targeted investments to expand our EWP capacity. We will also closely monitor the changing housing market landscape and adjust production rates as appropriate. BMD continues with its steady execution of organic growth and is progressing well with the build-out of expansion projects at Marion, Ohio; Walton, Kentucky; and the recently announced expansion of Albuquerque, New Mexico. The BMD team also continues to work on additional organic growth opportunities in existing and new markets. We have proven our effectiveness in managing market uncertainties and volatile commodity product pricing, and I’m confident in our ability to do so across all of our products and in the future. Times of uncertainty provide BMD with the opportunity to further demonstrate the value that two-step distribution provides to our supplier and customer partners. Our company remains incredibly well positioned, and we will continue to make sure we use our operating and financial strength to benefit our customers, suppliers, communities and shareholders. We remain committed to execution of our key strategic priorities as we navigate market uncertainties and clear signals of weaker near-term demand for new residential construction. Lastly, I’m very pleased with the early integration efforts related to the newly acquired Coastal Plywood facilities. I want to express my gratitude to all associates throughout the organization, including our newest associates at Havana and Chapman for keeping a sharp focus on our customers and working safely and effectively in this changing environment. Thank you for joining us for the call today and your continued support and interest in Boise Cascade. We would open – welcome any questions at this time. Lisa, would you please open the phone lines?
Operator: Thank you. [Operator Instructions] Our first question will come from Susan Maklari of GS.
Charles Perron: This is Charles Perron in for Susan. Thanks for taking my question sand congrats on the strong quarter.
Nate Jorgensen: Hey good morning, Charles.
Kelly Hibbs: Hi, Charles.
Charles Perron: Maybe first, you mentioned in your outlook the potential for price erosion in EWP over time. Can you talk about the trajectory you’re thinking for that part of the market right now, given the current macro? But also given the significant advantages that these products have relative to alternative and the tight labor market at the builder level, how should we think about your ability to hold prices maybe ahead of the cost inflation you might see on the fiber side? And how – what the trajectory of that maybe on the margins over time.
Mike Brown: Charles, this is Mike Brown. Thank you very much for the question or multiple questions, I think. The – as it relates to our ability to hold EWP pricing, I think that has a lot to do with how we see the market evolve going forward. As Nate pointed out, remains to be seen what the market looks like in 2023. But generally speaking, EWP pricing tends to adjust more slowly than commodity-based pricing. So, I think where we’ll end up remains to be seen depending on how housing starts turn out in the coming 12 months. I think you asked the question as it relates to our position relative to alternative products. EWP as a general category is a value-added product. And because of the way in which it goes to market and the way in which it’s used in housing, I think we have a very good value proposition as it relates to what homebuilders are looking for. So, I think from that perspective, we’re in a good spot. I think – please clarify, I think you asked a question around cost of the products. Was that correct? I didn’t get all your multiple questions there.
Charles Perron: Yes. So more about the trajectory of the cost maybe on the fiber side. The input cost may be getting lower faster than the trajectory you see on EWP’s prices that will allow you to maybe expand margins despite the weakening top-line?
Mike Brown: Yes. Okay. So fairly clearly, one of our biggest input costs is that of fiber. And as I looked at the numbers recently, we’ve had some very modest, I’d call it, very modest declines relative to the prior quarter as it relates to fiber costs, but they’re still elevated relative to the same quarter in the prior year. I think based on what I’m seeing that the input costs for fiber in particular, while they might slowly decline in some geographies in – particularly in the Pacific Northwest, we have some headwinds that – headwinds there as it relates to the availability of fiber and the general environment that we’re operating in from a regulatory perspective. One of our other major inputs, of course, is resin, okay? And from that perspective, that’s fairly closely tied to what happens in the petrochemical sector. And as you’ve seen, we had a small decline in petrochemical or petrol prices. But they have again started to increase. So, I’m not sure that I see a massive difference, particularly to the downside in our cost structure in the immediate future.
Charles Perron: Got you. Okay. Appreciate the color there. And then maybe on the BMD side, with a weakening macro environment, can you talk about the opportunities to develop new partnership to expand maybe your product portfolio, which maybe were not available over the past two years, given the supply chain? Any product category that look appealing to you or anything you would highlight there?
Nate Jorgensen: So Charles, it’s Nate. Yes, I think as we look at our product mix in BMD, to your point, it is in markets where things are pretty tight in terms of supply availability. There’s limited options in terms of where we can grow in terms of not only expanding maybe our current products, but also new product opportunities. We see that very much part of our opportunity moving forward in BMD and some of our legacy products but potentially new products and service as well. So as the market kind of gets better settled in terms of supply and demand, we see our ability to continue to grow and expand our products and services in BMD. And that’s something that’s going to be very much part of our thinking as we finish off 2022 and head into 2023.
Charles Perron: Yes. Thanks, Nate. And maybe just to follow up on that. Can you talk about the performance mix that you’ve seen in BMD across maybe categories that are more additional focus maybe like doors and windows, EWP versus other categories like decking? And what are you expecting for that going forward? And maybe the implication that the mix shift on the new residential contract side becoming softer could impact your margins maybe?
Nate Jorgensen: Yes, good question. I think when it comes to mix, like probably a more general statement. I think the products and services that are more maybe tethered to multifamily and repair and remodel likely will have a stronger tailwind as we head into next year. I guess the other thing I would describe is really across all of our products and services in BMD, it’s really clear that the dependency our customers have on other warehouse services continues to grow. And so maybe in past years where they’d be taking truckloads or railcar direct on a range of products and services, today, it’s more units, job packs and pieces. And that fits incredibly well with our BMD capabilities and our BMD plan moving forward. So if you think about product mix and service and margin, I think the more – the focus will be and the need will be for our customers is more out of warehouse services and support. And we’re, again, really well positioned for that opportunity.
Charles Perron: Perfect, thanks for the time guys.
Nate Jorgensen: Thanks, Charles.
Operator: Thank you. [Operator Instructions] Our next question is coming from Mark Wilde of BMO. Please go ahead.
Mark Wilde: Thanks. Good morning, Nate, Kelly.
Nate Jorgensen: Good morning, Mark.
Mark Wilde: May be just curious, going back to EWP, I mean, I assume most of EWP goes into new housing. But can you just – can you help us with a little color on new housing versus how much of that market is repair and remodel related or multifamily related?
Mike Brown: Good morning, Mark. It’s Mike. Good to hear you again. So I think you hit the nail right on the head. The very great majority of the products that we sell today, the EWP products we sell today do go into single-family. However, there is a market obviously, for repair and remodel. But for Boise Cascade at this point in time or up until now, that has been a relatively small component of our sales. And then on the multifamily side of things, I think that’s – that has been a small component of our mix. But I think it’s likely to be a bigger component in the future. So we’re actively working on that particular front to help offset any changes we might see in single-family starts as we move into 2023.
Mark Wilde: Okay. Right. And just stepping over to your general line business, I’m just curious what you’re seeing there in terms of just market tightness. I know earlier in the year, things like doors and windows were quite tight. So are you seeing generally an easing there? And has it had any impact yet on general line pricing?
Jeff Strom: Hey Mark, this is Jeff. We are definitely seeing easing on that. The product is freeing up for sure. There are still a few categories in there where there’s still an allocation. But overall, it has freed up significantly, and we’re pretty much in – can purchase what you need where you need it.
Mark Wilde: Okay. Any pricing reductions yet? Or – because I think pricing step on up pretty sharply.
Jeff Strom: We haven’t really seen it yet. And there are several items out there in the general line that still have price increase in the first quarter that we’re expecting to go through. So we’ll watch that carefully and manage it like we always do.
Mark Wilde: Okay. All right. And then finally, Nate or Kelly, can you just give us a little bit of color on that 2023 step-up in CapEx, and what that’s going to be composed of?
Kelly Hibbs: Yes. Sure, Mark. Happy to do so. So as we alluded to in the talking points, on Wood Products there’s a fair bit in there around continuing our multiyear plan to expand EWP capacity. So for example, in Chapman, we’re going to do things that relate to veneer equipment. We’re going to do things relate to – related to adding a POV line, which again that’s a raw material, if you will, that goes into Alexandria. And then we’re also going to do some things around eye line upgrades as well as layup line controls at Alex. And so kind of a lot of that – a good chunk of that, call it, probably 60 to 65 of that range is related to Wood Products, and a lot of that is devoted to the Southeast. And then in BMD, the range I’d give you there is probably between 70 and 80. And it’s a lot like what we’ve been doing, which is existing – increases in existing locations. It’s also looking to further scale door shops. And it’s also looking at new locations, and we’re actively working on a number of those fronts. I can’t give you specifics yet on those locations and those specific spots on the map. But included in that range is some expected organic growth, that we expect to be speaking to in the near future.
Mark Wilde: Okay, all right. That’s helpful. I’ll turn it over. Thanks, Kelly.
Kelly Hibbs: Thanks Mark.
Operator: Thank you. [Operator Instructions] Our next question will be coming from Reuben of Benchmark. Excuse me, you can go ahead.
Nate Jorgensen: You there, Reuben?
Operator: His line dropped. I'll go ahead and bring the next person to the platform.
Nate Jorgensen: Okay, thanks Lisa.
Operator: [Operator Instructions] Our next question will be coming from [indiscernible] of D.A. Davidson. Your line is now open.
Unidentified Analyst: Hi, good morning Nate, Mike and Kelly. First off, congratulations on a great quarter. And just a few questions from me. I’m filling in for Kurt today, by the way. And first question is, what were the contribution from an EBIT and EBITDA perspective for Coastal in the quarter? And were there any onetime items that impacted that?
Kelly Hibbs: Yes. So thanks for the question, Addie. We don’t typically speak to specific performance at a location level. And included in the results in the third quarter would be the purchase price accounting, in particular, the inventory step-up. So that would have mitigated what would have been expectations that are consistent with our – consistent with what we had we acquired those assets.
Unidentified Analyst: Okay. Okay. Got it. And secondly, is there any way to quantify the benefit on web stock costs relative to the last quarter, given the decline in OSB? And will that continue to trickle over in the next one or two quarters, assuming OSB prices remain flat from here?
Mike Brown: Sure. This is Mike. So the way we manage our web cost stock is not really on a spot basis. So as you pointed out, the general pricing of OSB has declined in the last number of months. But the way we look at it and the way we structure our cost, that’s not really the way in which our costs or the web costs flow through our cost statement. So while – they may come down a little bit going forward, it’s not to the same extent as you would see with the spot prices for OSB.
Unidentified Analyst: Okay. Okay. That makes sense. And just lastly, you touched on this in your prepared remarks, but essentially, you funded 70% of the Coastal acquisition with free cash in Q3 and appreciating you just announced another supplemental dividend of $1 per share. So how are you thinking about additional capital returns to shareholders? And specifically, can you talk more about are you more inclined to use share repurchases more than ever than in the past?
Kelly Hibbs: Yes. So I’ll take that question, Addie. So in terms of our approach to capital allocation, it really hasn’t changed. Our balance sheet remains very strong and very flexible, and that’s purposeful. We have that expanded capital program that we talked about that allows us to invest in our existing asset base and also due to organic spending projects we talked about. And in these sorts of environments, M&A could be an opportunity as well. And so we’ll certainly be receptive and open to the inbound calls in that regard. And now specific to your question around returning cash to shareholders, that playbook is also the same. There’s two components to that. There’s the quarterly dividends which, over time, we want to modestly grow that, and we demonstrated that again last week. And then special dividend is another outlet, and share repurchases is always on the table and in the conversation. And we do have a 2 million share authorization that’s outstanding. Nothing to report on share repurchases at this point, but it’s very much in the playbook.
Nate Jorgensen: And Addie, it’s Nate. Maybe I’ll add to Kelly’s comments is that’s really an intentional conversation we have every quarter with the Board. So it’s something that we are very deliberate with and very consistent with. And as Kelly described, I think our parameters and the approach that we’ve taken is very consistent to what we’ve done over the past number of quarters.
Unidentified Analyst: Right. Okay. And just one – just one quick more – one quick question with incrementals, the veneer supply from Coastal, Chapman mill and knowing the current demand backdrop, would you be able to have more synchronized growth across LVL and I-joist?
Kelly Hibbs: Yes. Short answer is yes. And we gave some amount of detail in the last quarter’s call around by 2025, we expect 10% to 12% more EWP capacity, and that’s a function of not just the incremental stress-related veneer that we get from that acquisition, but also some of the CapEx projects to put more steel in the ground to have more EWP capacity.
Unidentified Analyst: Okay, got it and I’ll turn it over. Thank you.
Kelly Hibbs: Thank you.
Operator: Thank you. [Operator Instructions] And our next question is coming from Reuben Garner of Benchmark. Please go ahead. Your line is open.
Reuben Garner: Thank you. Can you guys hear me now?
Kelly Hibbs: Got you, Reuben. How are you?
Reuben Garner: Sorry about that. So let’s see. A couple of follow-ups. I think the things you’ve already discussed, I just want to kind of get some more color. So on the distribution side, it sounds like pricing and it looks like margins have held in pretty well of late. You’re clearly still well above where you were back in kind of 2017, 2018, 2019. If we see housing starts go back to that kind of level, where do you think the margins fall out? I mean, it seems to be pretty encouraging that you’re still putting up an 8% EBITDA margin as the market has turned as quickly as it has.
Kelly Hibbs: Yes. So I think you got a two partner there. So in terms of – you’re right, and you read the margins, both gross and EBITDA have held up well. And I would say that has continued through October. Sales pace through October was pretty good. And again, the value of two step distribution, mixed truck loads out of warehouse is a good thing for us. And so October has been pretty darn solid. November and December, only 20 workdays in each one of those months. And certainly, the winter does come every November and December. So we do expect to see some – potentially some declines as we – just in terms of sales velocity as we work our way through the winter. And then I would also say, as a reminder, you may remember last fourth quarter Reuben, that commodities really kind of took off again in November and December. And we don’t see any rational reason for that to happen this quarter. So strong results. In terms of then your next question, which is okay, where do you want to be when you make your way to the other side and/or get to a more normalized level pace of business? Our goal is absolutely to expand that EBITDA margin that we’ve reported historically, which was the 3% to 3.5%. And we do believe we can be above that over time for several reasons. One, I think the commodity folks have done a great job, and you’ve seen it in our results in terms of managing through a tremendous amount of volatility. And we’re just getting better and better every day at that. So shout out to our commodity teams on that. And then as we continue to expand general line product offerings and align with some great vendors there and also further scale our door shops, that’s all targeted towards expanding our gross and EBITDA margins as we move into the future. But I’m not ready to tell you what I just gave you a specific target on what that could be. But that is absolutely the objective.
Reuben Garner: Okay. Perfect. And then we’ve definitely heard of some destocking across the building product space. And I’m just curious; it’s a little tough to tell with your inventory. And I know there’s a lot of moving pieces with price actions on both the commodity and other products of late. But can you kind of tell us where your inventory levels stand at distribution kind of relative to maybe the peak and maybe relative to where they’ve been historically?
Jeff Strom: Yes, Reuben, this is Jeff. I’ll tell you our inventory level right now is right on pace with what our sales base is. So I feel really good about where we sit. It is down from the peak for sure, but it’s exactly where we want it to be right now heading into this.
Reuben Garner: Okay. And then last one for me. Same kind of – as a follow-up to the first question you got about pricing in EWP, I guess in that same sort of scenario, if we go back to 800,000, 900,000 single-family starts, are we – at this point, would you think that these prices revert back to prices that they were at that period? Or has enough changed structurally that there will be a higher kind of base for pricing for I-joist and some of your other products?
Mike Brown: Reuben, I think it’s a bit early to say what the pricing will be if we drop to your numbers, 800,000 or 900,000 for single family. However, I think it’s fair to say that if the macro environment is as we think it might be that the supply side will adjust, and that we’ll probably end up seeing some decline erosion in EWP pricing. I’m not sure that I’d be confident at this stage to say that it would be either the same as what we saw previously or whether it would be some increment above that. I’m not sure we really know that yet, given there are a lot of moving parts relative to not only our production but others that play in the same sector. It’s a bit too early to hypothesize what that might.
Nate Jorgensen: Hey, Reuben, it’s Nate. Maybe just another quick comment on if you look at through the cycle in terms of how the EWP product category, its position, I think the supply and demand balance is a really good one. So I think as we look at that, obviously, there’s going to be some short term how we work through an evolving marketplace here. I think again, we’re prepared to do that and make the needed adjustments. But I think as you look at through the kind of – through the cycle kind of medium to longer term, we feel really good about the supply and demand balance within EWP and how we’re going to be positioned to support that.
Reuben Garner: Thanks for the time guys.
Kelly Hibbs: And I guess, Reuben, while you’re there, one other comment I would maybe add is around EWP volumes as we move into the fourth quarter. Certainly, if you read the homebuilders commentary, they are very focused on finishing the projects underway, getting those closed up, and then in the price discovery phase, if you will, getting them moved. They are very prudent in terms of digging that next hole in the ground and making that next start. And so we alluded to I-joist a little bit in some of our comments. And so we are – that’s where we’re seeing some more pressure as well as a pretty meaningful slowdown in I-joist volumes as we kind of work through this initial phase, and it’s very fluid. So I just wanted to add that color for you.
Reuben Garner: Very helpful. Thank you.
Operator: Thank you. [Operator Instructions] And our next question is going to be coming from Jim of [indiscernible]. Your line is open, Jim.
Kelly Hibbs: We’re not picking up anything on our end, Lisa.
Operator: Yes. The line is still there, though, but there is no one there. So would you like for us to go ahead to closing remarks, sir?
Kelly Hibbs: Yes, I’d say we’ll just go ahead and close it up.
Operator: Okay. That is the closing of our Q&A. And I would like to turn this call back over to Nate Jorgensen for closing remarks.
Nate Jorgensen: Great. Thank you, Lisa. Just we appreciate everyone joining us this morning for update, and thank you for your continued interest and support of Boise Cascade. So with that, we’ll sign off. Please be safe and be well. Thank you.
Operator: Ladies and gentlemen, thank you for today’s conference call. This concludes – everyone may disconnect.